Operator: Good morning. My name is Connor and I’ll be your conference operator today. At this time, I would like to welcome everyone to the SXC First Quarter 2016 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Steve Carlson with the Investor Relations team, you may begin your conference.
Steve Carlson: Thank you, Connor. Good morning and thank you for joining us to discuss SunCoke Energy’s first quarter 2016 earnings. With me are Fritz Henderson, our Chairman, President and Chief Executive Officer and Fay West, our Senior Vice President and Chief Financial Officer. Following the remarks made by management, we’ll open the call for Q&A. This conference call is being webcast live on the Investor Relations section of our website and a replay will be available. If we don’t get to your questions on the call today, please feel free to reach out to our Investor Relations team. Before I turn the call over to Fritz, let me remind you that the various remarks we make on today’s call, regarding future expectations, constitute forward-looking statements. And the cautionary language regarding forward-looking statements in our SEC filings apply to the remarks we make today. These documents are available on our website as the reconciliations to any non-GAAP measures discussed on today’s call. Now, I’ll turn the call over to Fritz.
Fritz Henderson: Thanks, Steve and thanks everyone for joining us this morning. Turning to slide two, I want to highlight some of the progress we’ve made in the quarter. The first quarter was a solid quarter in terms of both safety, environmental and operating performance across the coke and the coal logistics fleet and that was accomplished in the phase of, I think, a challenging environment. We were pleased with the stability and the solid performance of our operations in the quarter and as I look at it, a good start to the year and keeps us on track to achieve our goals for 2016. Looking specifically at Indiana Harbor, which is our single largest operating challenge across SunCoke, we did make progress particularly in the cost side, as part of the balanced approach to the plant in the quarter and we continue to remain keenly focused on achieving operational plant stability and I have some charts and more comments to make later in the presentation on that. From a capital allocation perspective, we supported SXCP’s repurchase of approximately - of $53 million face value of senior notes in the quarter, putting them well in track to achieve the partnership’s de-levering objectives for ‘16. We did successfully divest the remaining elements of our coal mining business in the transaction that simplifies our business structure and also improves ongoing cash flow going forward. And finally, with the first quarter behind us, we’re reaffirming this morning our 2016 adjusted EBITDA guidance as shown in the chart of $210 million to $235 million. On chart 3, I want to highlight some of the actions we took in the quarter to support customers in a response to the industry landscape that we all face. We do continue to work with our customers and support them, which is all the more important, given the evolving market conditions. For example, in the quarter, we did agree with our customer reduced production at our Haverhill 2 plant by 75,000 tons across the year and we also agreed with our customer to back end load our deliveries at our Granite City facility through 2016. Neither of these actions are expected to impact our earnings from these facilities nor consolidate just the EBITDA guidance for the year, but they’re good examples of how we can remain responsive and flexible to our customer’s needs, while still preserving the voracity of our contracts and the stability of our cash flows. Additionally, as I mentioned earlier, we continue to support SXCP’s de-levering objectives. We did provide sponsor support in the first quarter in the form of the corporate cost holiday and an IDR giveback and for the second quarter, we’ve adjusted that level - that support to provide it through a one year payment deferral on both corporate costs and IDRs. And we will continue to evaluate capital allocation decisions in the partnership on a quarterly basis based upon market conditions, performance of our partnership and the objectives we set out for ourselves for the year in terms of reducing leverage of the partnership. Finally, as I mentioned, we were I think pleased I think with the ultimate resolution of our coal mining segment transferring the remaining assets to Revelation Coal and we’re going to work on - we will continue to work on diligently reducing costs going forward. At this point, I’d like to turn it over to Fay.
Fay West: Thank you, Fritz. For the quarter, consolidated adjusted EBITDA of $53 million was up $5.1 million versus the prior year period and this was driven by the benefit of the CMT acquisition and improved performance at our Indiana Harbor facility. From an EPS perspective, we reported a loss per share of $0.06 in the first quarter and that included a $10.7 million pre-tax asset impairment on our coal mining business and higher non-controlling interests. This was partially offset by a $20.4 million pretax gain, resulting from the partnership’s debt repurchases. Looking at adjusted EBITDA in the next slide, as you could see, the $6 million performance improvement that we had at Indiana Harbor was driven by lower cost and higher volumes. While we are encouraged by the headway we have made on spending, we are still - we are ways away - we have a ways to go to achieve plant wide stability. Fritz will go through Indiana Harbor results in more details later on the call. Excluding Indiana Harbor, the remainder of the coke business was impacted by lost steam revenue due to the restructuring of Haverhill Chemicals and unfavorable volumes and FX at our Brazil coke operations. Additionally, there was $2.7 million of coal transportation costs that were shifted from Coal Mining to the Jewell Coke to reflect our transition to a 100% third party purchase coal model. These shifted costs which would be about $10 million on an annual basis will remain in our Domestic Coke segment going forward. Moving on from coke, in 2015 we recognized a $4 million OPEB curtailment gain that did not recur in the current period. Furthermore, savings from our 2015 staff reductions were offset by the pull forward of legal costs and the mark-to-market impact of stock price changes on our deferred compensation expense. At Coal Logistics we were aided by the $13 million contribution from the Convent facility which inbounded 920,000 tons of coal in the first quarter. First quarter volumes were a bit lower than expectations and were largely driven by depressed API 2 pricing which persisted through the quarter. We have seen API 2 pickup here in April and have started to see volumes at the facility increase as well. Turning to the next slide, we delivered first quarter adjusted EBITDA per ton of $54 on 991,000 tons of production. Our quarterly results were impacted by several factors which I covered on the previous slide and included the shift of coal transportation cost from Coal Mining to Jewell Coke, customer volume adjustments at Granite City and Haverhill and our Indiana Harbor performance. And while the consumer volume accommodation will not impact our full year consolidated adjusted EBITDA guidance, they will impact our domestic coke production outlook as well as our adjusted EBITDA per ton. Moving to the liquidity bridge on slide seven, we ended the quarter with approximately $102 million in cash and $123 million of combined revolver availability. Looking at cash flow for the quarter solid operating cash flow was offset by spending on capital expenditures, distributions to SXCP public unitholders and nearly $33 million of cash used to repurchase debt at SXCP. Additionally, in the quarter, we issued nearly $31 million in letters of credit to our surety and insurance providers as collateral for our black lung workers' comp reclamation and other guarantee obligations. These outstanding letters of credit reduced the borrowing availability under our credit facilities. As part of our coal mining divestiture, we expect approximately 10 million of these letters of credit will be relieved upon full transfer of our coal mining reclamation liabilities to Revelation Energy. Even with these additional LOC requirements, we remain well-positioned with more than $225 million of total combined liquidity. I will turn it back over to Fritz.
Fritz Henderson: Page eight looks at it more detail at Indiana Harbor’s performance. We were I think as I look at it encouraged by some progress we saw in the quarter. The focus continues to be on stabilizing the plan operations. You look at - looking on the left hand side is what we outlined late last year at our Investor Day. If you start with production, we were up 16,000 tons versus the first quarter of '15 and up even more versus the first quarter of '14. What I would say is that we were well prepared for winter this year and we had a mild winter, so that helped us. I would say we didn't achieve all the goals we set in terms of stability of production in the quarter, but nonetheless we were improved and this is an area that continues to be a focus for us through the rest of the year. The second point I'd make is we said we were going to evaluate and analyze the results to maximize the value of the capital deployed particularly as we rebuild ovens. I have some more detail on that in the subsequent chart, but we did see continued stability and improved oven performance from the ovens that we did rebuild and we expect now to increase number of ovens we will rebuild in 2016 relative to what we outlined at the beginning of the year based upon the progress - based upon the continuous consistent performance of the ovens that have been rebuilt already. And finally we did outline an overall balanced approach to the plant both in terms of production, capital and O&M costs and here through good cross-functional work we did achieve cost reductions. We had expected to achieve about $5 million of reductions in 2016 and as you can see, we're well ahead of that pace in 2016 through the first quarter, but I remind you the timing of actual O&M spend is oftentimes driven by specific projects and for example the oven rebuild projects and the expense associated with that would be later in the year. But nonetheless we were pleased with the performance from a cost perspective and we continue to look for and explore further cost savings. Sitting here today, we feel that we're comfortable with affirming our guidance at the Indiana Harbor plant between 3 million and 13 million of adjusted EBITDA and I would say reasonable start to the year for the plant that really continues to be our most significant operating challenge across the fleet. Page nine looks at the ovens that have been rebuilt. I showed this chart in December. It doesn't look a lot different today, four months later. That's exactly the objective. So if you look at the D battery ovens, one of four batteries we have, the left hand side where those - the oven performance of both in term charge weights and coking times, three rebuilds and the far right shows status as of March 31 of those ovens. I’d say two things. One, we continue to be - they continue to perform consistently in terms of both charge weights and coking times at levels improved relative to certainly in charge weights as well as in coking times to what they had before. So I think they’re very consistent with where they were in December, and that’s something that we were really looking for before we actually commissioned more of the rebuilds this year. And again it reinforces our view that this is a sustainable way to improve the performances of ovens in the plant. And the third thing I would say about the ovens that have been rebuilt is when you do have, you do have upsets or disruptions at the plant and we did experience some of those in the first quarter. These ovens would cover better, and so what you can see is you can reduce charge weights, you can stay within coking times and you can bring those ovens back more quickly. We did experience a number of disruptions, which happened at this plant. It happened at all of our plants, but this plant particularly in the first quarter, less so than we had in the first quarter last year. But nonetheless when you have them, the ovens that have not been rebuilt, we will cover more slowly. And so you get a benefit when you rebuild ovens both in terms of charge weights and coking times and then they cover better when you do have experience disruptions at the plant. So wrapping up on page 10, we - our priorities are consistent relative to what we said coming into the year. We need to remain flexible and responsive to the challenges that our customers face and that the industry faces while leveraging our unique value proposition. Second pillar of our priorities for 2016 was to stabilize the Indiana Harbor coke making operations and improve the profitability - production and the profitability of the plant through executing oven rebuilds and managing in a balanced way operations and maintenance cost and capital. As we look at the conditions in the industry before I move up this chart, I would say relative to where we came in the year, we’ve seen improvement through the first quarter. We have seen steel pricing for example, both globally as well as domestically increase with US coal prices recently eclipsing $500 a ton for the first time since early 2015. You have seen imports year-over-year decline, but nonetheless the industry is still being very significantly affected by unfairly treated import levels. On the Coal Logistics side of our business, Foresight has put forth a framework to resolve the ongoing dispute with our creditors. We view that as constructive, but still work in process. As Fay mentioned, API too has rebounded a bit here in April and we have seen production at our Convent Terminal pick up in the second quarter. And while things are - as I look at the environment, certainly improved relatively to where they were in late last year and beginning of this year. I think we need to remain both vigilant, flexible and responsive, because there are still significant number of challenges we face in the industry. Wrapping it up, what’s it about? It’s about delivering an operations excellence. I have already talked about the priorities at Indiana Harbor. For rest of the fleet, if you look at stability of operations, cost management and I would really point out for example, on the logistics side of the business where we experienced lower volumes in the quarter, we had good disciplined cost management across our logistics fleet. And then of the rest of the coke fleet, they did benefit from a milder winter, because our plants do operate outdoors, but nonetheless when I look at Granite City, Middletown, Haverhill and Jewell, they really got off to a good start. Our Brazilian operation is down year-over-year, but frankly it’s lapping what can only be considered a superb first quarter 2015. We felt like our Brazilian operations are right on track as I started the year. And it’s all about delivering on our goals for 2016. As I said, based upon the first quarter, we are affirming our 2016 consolidated adjusted EBITDA guidance. And we continue to execute the risk management delevering strategy at the MLP. With that, we will open it up for questions. Thank you.
Operator: [Operator Instructions] Your first question comes from the line of Lucas Pipes with FBR and Company. Your line is open.
Lucas Pipes: Hey, good morning everybody. Fritz, in your prepared remarks, you were going through the corporate holiday, corporate overhead cost holiday and the IDR giveback, but you were addressing it pretty quickly. Could you remind us what’s the latest status of these programs? And then from there I have a few follow-up questions. Thank you.
Fritz Henderson: What we did in the first quarter, the support that was provided at MLP was done through a corporate cost holiday and the corporate cost allocation and then IDR giveback basically for going our IDRs in the first quarter. In the second quarter, we revised that approach to provide one-year payment terms for both of those. So we’ll continue to provide support but do so in a modified way in the second quarter and then we’ll continue to evaluate beyond the second quarter on a quarterly basis.
Lucas Pipes: So, should I think about essentially SXCP going to be is going to be paying back this capital to SXC in the future is that the right way to think about that modification?
Fritz Henderson: Yes.
Lucas Pipes: And then just a quick update in terms of what you’re seeing from your customers, are you getting increase for maybe increasing coke demand, also coke production in response to these improving market conditions kind of what's your dialog right now with your customers?
Fritz Henderson: Stability would be the way I would say the dialog, I mean I would say our customers are basically running their assets well but I would say obviously we have two plants that we serve both Granite City and Ashland that the blast furnaces are at this point temporarily idled and I think both U.S. Steel and AK Steel run the rest of their facilities or running the rest of the facilities at high level of utilization. So I wouldn't say we've seen any marked poll for more coke, I would also say we haven't seen any marked push back against coke in other words the adjustments we made in the first quarter to support our customers I think are doing the job. I would note that we talked about hot rolled coil prices and when I look at what's happened with Platts with the prices net coke actually, it’s increased sharply, we just have to see what happens to utilization rates but I would say sitting here today, feel okay about stability.
Operator: [Operator Instructions] Your next question comes from the line of Dean Graves with Eaton Vance. Your line is open.
Dean Graves: I wanted to follow up on the prior question with respect to the sponsor support. So, I’m trying to clarify is the first quarter support then was that non-reimbursable and now this is a fresh sort of one year through the first quarter of ‘16, ‘17 sorry?
Fritz Henderson: ‘17.
Dean Graves: ‘17. And then that one year would be reimbursable?
Fritz Henderson: Yes.
Dean Graves: Thank you for the clarification.
Operator: Your next question comes from the line of Lee Mcmillan with Clarkson. Your line is open.
Lee Mcmillan: I just had two questions on domestic coke guidance. Can you elaborate a little bit on what’s responsible for the declined EBITDA per ton guidance, it’s seem to be a mix of coal transport impact and then maybe the customer accommodations. And then I'm also wondering where that gets made up, so that full-year guidance didn’t have to be lowered or is it just that the range was wide enough that it can accommodate but I think it’s maybe like an $8 million shift? Thanks.
Fay West: So, once again kind of the customer accommodation do not impact our full-year consolidated adjusted EBITDA guidance. So that remains the same but we did lower our adjusted EBITDA per ton guidance and it reflects two things. The first is the shift of $10 million roughly from coal mining to domestic coke and that’s related to the transportation cost of procuring coal from third-party as well as kind of the per ton calculation is also impacted by the production decrease at Haverhill 2 and that’s expected to be about 75,000 tons lower, so that’s what’s driving the per calculation.
Fritz Henderson: The reclassification has zero effect on consolidated adjusted EBITDA but it does lower your coke adjusted EBITDA for that segment as well as per ton.
Operator: There are no further questions at this time, I will turn the call back over to Mr. Henderson for closing remarks.
Fritz Henderson: Well, thank you very much again for joining us this morning for your interest and for your investment in SunCoke Energy and we’ll talk next quarter. Thank you. Bye.
Operator: This concludes today's conference call, you may now disconnect.